Operator: Good afternoon. Thank you for standing by. Welcome to the Westlake Chemical Partners Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, August 5, 2025. I would now like to turn the call over to today's host, John Zoeller, Westlake Chemical Partners' Vice President and Treasurer. Sir, you may begin.
Johnathan Stevan Zoeller: Thank you. Good afternoon, everyone, and welcome to the Westlake Chemical Partners Second Quarter 2025 Conference Call. I am joined today by Albert Chao, our Executive Chairman; Jean-Marc Gilson, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer, and other members of our management team. During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake refer to our parent company, Westlake Corporation. And references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake and the Partnership, which owns certain olefins assets. Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners' MLP distributable cash flow. Definitions of these terms are available on the Partnership's website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations, and thus are subject to risks or uncertainties. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in our regulatory filings, which are also available on our Investor Relations website. This morning, Westlake Partners issued a press release with details of our second quarter 2025 financial and operating results. This document is available in the Press Release section of our web page at wlkpartners.com. A replay of today's call will be available beginning 2 hours after the conclusion of this call. The replay can be accessed via the partnership website. Please note that information reported on this call speaks only as of today, August 5, 2025, and therefore, you are advised that time- sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com. Now I'd like to turn the call over to Jean-Marc Gilson. Jean-Marc?
Jean-Marc Gilson: Thank you, John. Good afternoon, everyone, and thank you for joining us to discuss our second quarter 2025 results. In this morning's press release, we reported Westlake Partners' second quarter 2025 net income of $15 million or $0.41 per unit. Compared to the first quarter of 2025, our second quarter sales and earnings benefited from fewer production days impacted by the planned turnaround at our Petro 1 ethylene unit in Lake Charles, Louisiana. The stability of Westlake Partners' business model is consistently demonstrated to our fixed margin ethylene sales agreement, which minimizes market volatility and other production risk. The high degree of stability in cash flow, when paired with the predictability of our business, has enabled us to deliver the long history of reliable distribution and coverage. This quarter's distribution is the 44th consecutive quarterly distributions since our IPO in July of 2014, without any reductions. I would like now to turn our call over to Steve to provide more detail on the financial and operating results for the quarter. Steve?
Mark Steven Bender: Thank you, Jean-Marc, and good afternoon, everyone. In this morning's press release, we reported Westlake Partners' second quarter 2025 net income of $15 million or $0.41 per unit. Consolidated net income, including OpCo's earnings was $86 million. This amount includes a $14 million benefit to OpCo from protection provided by the ethylene sales agreement to insulate it from certain production shortfalls such as the extension of the Petro 1 turnaround beyond its originally scheduled completion date. Second quarter 2025 net income for Westlake Partners of $15 million was essentially in line with the second quarter 2024 Partnership net income. Distributable cash flow of $15 million or $0.43 per unit for the second quarter of 2025 decreased by $2 million compared to the second quarter of 2024 due to higher maintenance capital expenditures as a result of the Petro 1 planned turnaround. Turning our attention to the balance sheet and cash flows. At the end of the second quarter, we had consolidated cash balance and cash investments with Westlake through our investment management agreement totaling $81 million. Long-term debt at the end of this quarter was $400 million, of which $377 million was at the Partnership and the remaining $23 million was at OpCo. In the second quarter of 2025, OpCo spent $24 million on capital expenditures. We maintained our strong leverage metrics with a consolidated leverage ratio of approximately 1x. On July 30, 2025, we announced a quarterly distribution of $0.4714 per unit with respect to the second quarter of 2025. Since our IPO in 2014, the Partnership has made 44 consecutive quarterly distributions to unitholders, and we have grown distributions 71% since the Partnership's original minimum quarterly distribution of $0.275 per unit. The Partnership's second quarter distribution will be paid on August 27, 2025, to unitholders of record on August 12, 2025. The Partnership predictable fee-based cash flow continues to prove beneficial in today's economic environment and is differentiated by the consistency of our earnings and cash flows. Looking back since our IPO in July of 2014, we have maintained a cumulative distribution coverage ratio of approximately 1.1x, and the Partnership's stability and cash flows, we were able to sustain our current distribution without the need to access the capital markets. For modeling purposes, the Petro 1 turnaround completed. We have no further plans in 2025 or 2026. Now I'd like to turn the call back over to Jean-Marc to make some closing comments. Jean-Marc?
Jean-Marc Gilson: Thank you, Steve. The successful completion of the Petro 1 turnaround during the second quarter of 2025 was a major accomplishment that positions the Partnership for solid earnings and distributable cash flows well into the future. Turning to our outlook. Global industrial and manufacturing activity has been soft thus far in 2025, which is broadly impacting the global chemical industry. Despite the challenging global macroeconomic backdrop, the Partnership's financial performance and distributions will continue to be supported by our ethylene sales agreement, which provides a predictable fee-based cash flow structure from our take-or-pay contract with Westlake for 95% of OpCo's production. As has been the case since our IPO over 10 years ago, this ethylene sales agreement has delivered stable and predictable cash flows through economic ups and downs as well as planned and unplanned turnarounds. Turning to our capital structure. We maintain a strong balance sheet with conservative financial and leverage metrics. As we continue to navigate market conditions, we will evaluate opportunities via our 4 levers of growth in the future, including increases of our ownership interest of OpCo, acquisition of other qualified income streams, organic growth opportunities such as expansions of our current ethylene facilities, and negotiation of a higher fixed margin in our ethylene sales agreement with Westlake. We remain focused on our ability to continue to provide long-term value and distribution to our unitholders. As always, we will continue to focus on safe operations along with being good stewards of the environment where we work and live as part of our broader sustainability efforts. Thank you very much for listening to our second quarter's earnings call. Now I will turn the call back over to John.
Johnathan Stevan Zoeller: Thank you, Jean-Marc. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available 2 hours after the call has ended. We will provide instructions to access the replay at the end of the call. Angelina, we will now take questions.
Operator: [Operator Instructions] Our first question comes from the line of Matthew Blair of TPH.
Matthew Robert Lovseth Blair: I think you mentioned on the Westlake C Corp call that some of the outage impact from Q2 might be persisting into Q3. Would any of that outage impact affect the OpCo assets, the crackers specifically? And I guess, in general, could you talk about how those assets have been running so far in the third quarter?
Mark Steven Bender: Yes, Matthew, the impact that we were speaking to did not affect the ethylene unit here. And that unit, as I mentioned, was completed. And so there is no continuation of that turnaround in 2Q or -- excuse me, in Q3. And so it was completed in 2Q. And that has -- therefore, the plant is running very reliably and producing as we would expect it to after the turnaround.
Matthew Robert Lovseth Blair: Sounds good. And then you also mentioned the 4 levers of possible growth. Are there certain opportunities that look more appealing in the current environment? Certain levers that look less appealing? And I guess in general, how likely do you think it would be that Westlake LP would see some sort of distribution growth either in the back half of 2025 or into 2026?
Mark Steven Bender: Yes. The -- if you recall, going back to the origination of the Partnership, it was designed to be a mechanism to continue to fund the C Corp at attractive yields or attractive structures as issuing equity in that market. Today, as you think about Westlake, the C Corp, Westlake Corporation, there really isn't an immediate need for capital. And so as we think about the markets that the Partnership could attack, those markets, as you know, have contracted over the last number of years. And so given the combination of that contraction and the need -- the lack of need immediately for Westlake Corporation to attract equity capital, I don't see a need in the current year to raise equity capital through one of these 4 levers.
Operator: I am showing no further questions at this time. I would now like to turn it back to John Zoeller.
Johnathan Stevan Zoeller: Thank you again for participating in today's call. We hope you will join us for our next conference call to discuss our third quarter 2025 results.
Operator: Thank you for participating in today's Westlake Chemical Partners Second Quarter 2025 Earnings Conference Call. As a reminder, this call will be available for replay beginning 2 hours after the call has ended and may be accessed until 11:59 p.m. Eastern Time on Tuesday, August 19, 2025. The replay can be accessed via the Partnership website. Goodbye.